Operator: Good morning and welcome to the Taylor Wimpey plc Trading Update Call. Today’s conference call will be hosted by Taylor Wimpey Chief Executive, Pete Redfern; and Group Finance Director, Chris Carney followed by the Q&A. I would now like to turn the conference over to Pete Redfern, Chief Executive. Please go ahead, sir.
Pete Redfern: Thank you. Good morning, everybody. Thank you for joining us. I think this is a fairly straight forward sort of update and obviously given the timing very early in 2020 it’s more a confirmation on 2019 and the first flavor of the year we’ve just come into, but obviously early to give you sort of too much sense of how the market has started this year. Looking back at 2019 overall, I think the key thing you will take away is, overall in-line, no surprises in the later part of the year very much where we’ve guided to sort of through the second half, probably slightly higher volume than your expected overall, everything else very much sort of in line, but probably the strong order book, sort of even stronger than you might have expected and those sales rates up 19% year-over-year and half two, even I exclude both deals, and in the low-20s sort of with them, I think particularly strong, which we will come back to and give you a flavor, particular where our objectives are for 2020 more than necessarily where the market will be, which we’ll touch on what we think it might look like, but it was set aside too early to a side.  I think sort of last quarter of the year, no major market changes, you know sort of the cost pressures easing that we talked about sort of in the late Autumn we continue to saving the same pattern and sales. So, by the time the election result happened too late in the year to say any meaningful change people sort of the regulations we take after that would always be low, but definitely finished the year post election with more of an air of confidence, sort of across the sector with agents, you know, sits it with our own sales people and to the extent that we can judge it with customers coming through the door as well. I’m going to keep saying, it’s very early to say, how that will go into 2020. I’ll probably say it an annoying number of times and sort of this over to add in the Q&A, but it is. I think, if you look at the first sort of, and we really have one trading week in January. Positive, no surprises at sort of definitely more of a feel of confidence, but statistically you know sort of no particularly meaningful. So, I think this potential for market sort of upside this year or last, but we will be able to give you a much better feel and I think in all honesty we will probably have a very good flavor for it, by the time we come to the prelims.  I think what’s most important in that, no doubt, yes probably the most important takeaways where our balance is year-on-year. To a certain extent through 2019 the way I would expect it, we were managing for risk, yield lot of uncertainty, and sort of particularly on cost that’s actually in the market as well, you know sort of whilst trading continues to be strong and the sales rates were strong. You know, sort of with the uncertainty of Brexit and the inevitability of a general election at some point of the year, and the potential range of outcomes, you know sort of actually ending the year with a strong order book was always a very key goal for us and we have to get the volume great and that strong order book, we get sort of, we actually did our expectations. I think as we go into 2020, whilst risk hasn’t completely gone, still we still clearly have a sort of Brexit process to go through. We do feel it’s materially reduced. And so, I think the balance of where we are managing will switch and it’s more balance risk and opportunity. And I think where we will see that most clearly and where we’re most focused on the moment is the balance between sales rate and price, and a strong order book will come on to whether that’s selling too far ahead or whether it’s about right, but actually gives us choices. And so, we would not be disappointed to see sales rates slightly down in the first quarter, if we can make up that difference in price, and that’s where our focus is. I don’t mean 3%, 4%, 5% on price, but actually in the sort of – this kind of market with balance cost and price movements, you know every half a percent makes a big difference either way. So, I think that’s where our emphasis will be, and it will be slightly different to last year. So, I am not flagging that sales rates will be materially down, they may not, but actually you know sort of our balance and our focus is slightly more weighted towards price in this environment and that election result and the area of confidence that that has created, I think gives us, you know sort of the figure that that’s a, the right balance; and be, there is the potential for some price graph, which is quite important and that sort of changed to recover some margin. I think, when I kind of run through the other key areas, I would touch briefly on cost, but less price is around late 2019 than we’d seen. It was particularly early in 2019 that we saw material cost pressure that are these, by the time we go to September, October, we haven’t seen that change and very late all in the year, obviously again too early to sort of call where that will be sort of strongly this year, but certainly start from a normal year overall on costs, you know sort of with a bit of sort of upside against that potentially and very much again, I think our focus sort of is the important point that I want to put across through the last quarter of last year and going into early 2020. I think our cost focus is sort of much stronger and I would say it’s slightly broader than just cost, it’s cost and simplification. We’ve done a lot over the last three or four years on customer service, on quality. We don’t want to go backwards, but we want to do less new stock in 2020, and make it easier for our people to focus on cost and efficiency and really delivering that customer service, that quality, but in a simple and efficient way as possible and changing less things. And I think that message is quite strong in the business at the moment and has landed very well. So, I think by price and cost, our focus is on self-help in a world that we can’t control, you know sort of rather than just on what the market can do for us. Not a lot down the land market, I think sort of unchanged through the year, again I think a year in 2019, where were managing slightly for risk looking at the uncertainty still here to clear not wanting to go too deep. So, purchases were focused very heavily on strategic land. I think, you know, sort of we would like to see more potential outlooks coming through it’s not a short-term sort of pressure points and it’s not deeply concerning, but I think that sort of general reduction outlook is to be seen over time, it’s not something we want to see continue. So, making sure that we got the right balance in the investment between smaller and larger sides, they are going to be important to us. And, yes, if we get that right, I wouldn’t be surprised to see the 2020 being a bit of a stronger land purchasing yet, I would say at that point that I don’t want you to over read that, I’m not talking about saying that would impact materially on cash or I have sort of dividend strategy or anything like that, but definitely on balance after a year where the focus has been on risk just being sort of edging forward a little bit more to build the outlook for 2021, 2022. And then coming on to sort of an overview sort of an outlook and I have touched on sort of several things, we talked about in the statement, you know sort of half two waiting. I think, we still got better tailwind from 2019 on margin and on cost, which effects particularly I think half one. We have the sales in the order book, but we still got to deliver properly on the completions and very committed to getting that build quality right and not putting the teams under too much pressure. We do think it will be a smooth half one and as in not too weighted towards June, but sort of actually the way to completions to be sort of will continue to be more towards the second half of the year, and our focus in on reducing that as we go through 2021 and 2022. I think price as I touched on very key factor, probably the most important for us in 2020, you know, since we commenced the year with a pretty clear set target, I am not going to be explicit on what we think we can achieve because it’s too early, but I’m sure when we come back to the prelims we will cost control in our own gift on control, but a better environment than we saw last year, and areas where we can make, not massive, but meaningful reductions in overheads and efficiency and as I say, particularly simplify things that the people are not giving them too much new stuff. And relatively stable volume over 2019. I think 5% was the top end of our growth expectations, it was high when we came into the year expecting some of that was sort of that our strategy on sales rates, on private sales was more effective, some of it was a bit consciously decided to take, bulk sales given the overall market risk. Yes, I think 2020 [was a] continued volume growth, but I don’t think it will be a meaningful shift either way, and our focus will be on sort of maximizing the margin as we deal with this sort of 2019 cost follow on, but try and get price back and set our sales up for 2021. Chris, anything?
Chris Carney: Yes, just a couple of things from me. Firstly, I think, at the time when there is a growing interest and the appreciation is the importance of company culture from all stakeholders, I think it’s worth noting that we were included in Glassdoor’s Top 50 players as to work in the UK for the third year running, which is pleasing. Secondly just on spend, 2019 was another strong year for us, an increase in demand from eastern European buyers comfortably offset any Brexit related uncertainty from UK buyers and although we’d expect operating margins to moderate all the time from what was a very high level of 28% in 2018. We still expect them to come favorably to say UK margins in 2019 and as we move into 2020. And then, lastly, you know suppose it would be remise of me not to remind everybody that with 546 million of net cash at the end of the year, you know we retain a very strong balance sheet on various no change in our dividend plan for 2020 with the ordinary dividends of £250 million, plus £360 million of special dividends in July subject to shareholders approval yielding total dividend for 2020 at £610 million.
Pete Redfern: Thanks, Chris. If we can open up for questions Nadia please.
Operator: Thank you. [Operator Instructions] The first question comes from the line of Brijesh Siya. Please ask your question.
Brijesh Siya: Thank you. Good morning, both of you. Two questions from my side. First one is, have you seen any, I mean, if you can give a regional flavor of pricing increases or sentimental change-led price improvements post to election, whether it's in the north, or it's across regions or it’s – I mean, is it broad-based, or it's only specific sites specific? Have you done any kind of blanket increase of prices? So, if you can give a little more flavor on price improvements post-election, that'd be great? And the second one is on outlets, appreciate your guiding outlet as a result this would be flat this year compared to last year. Considering that there'll be a – your intention to increase the land buying. Do you expect that outlets to be materially higher in 2021, compared to 2020? And if you can link that to the impending changes in the help to buy program from March 21. So, how do you want to basically balance that out? Thank you.
Pete Redfern: Thank you. I mean, as I say, in terms of price movements post-election, what's actually happening in the marketplace, it's too early to say. So, the feel is positive, but it will be wrong to give you two strong a confident view of how that plays out over time, because it’s the evidence just isn't there either way. I wouldn't expect it to be sort of – we've had a month since the election of which at least three weeks of the period, where active sales are always very low because of the time of year and calendar wise. So, what I can touch on, but I won't go too deeply into this, our own plans on price. We have made a – almost entirely across the board change the price from the 1st of January. I'm not going to tell you the exact amount because I think, we don't know how much of that will land and that will vary geographically and that's how we would tend to do it, but that's certainly pushing harder than we were 12 months ago. And largely, because we feel that the environment is there and a little bit because we feel on the balance, as I touched on before and the balance sheet sales right and price last year, we were switched slightly the other way. So, a bit of that is making up some ground, but it isn't just a case by case piece. I think the most important bit of that, but the hardest piece to call is what happens in London in the southeast. I think there is, obviously saw Savills' comments yesterday, there is more potential, sorts of upside in terms of recovery in London in the Southeast, but it really is too early to say. And I think it will take a little bit longer, but the air is more positive there, but I think it will take a little bit more time for people to really kind of think, yes, actually, there is enough 30 now for me to take a big decision. So, I think it's reasonable to say, it will be more positive than 2019, but the degree to which is more positive, it's sort of far too early say. I think for me personally, I'm more interested in what happens in London in the Southeast in terms of price than anything else, because I think it's a big swing factor. That part of the business for us has sort of been relatively tough for the last 18 months to two years. And it's probably, if you split things out geographically, it’s a sort of more meaningful headwind. And so, the impact is, sort of more significant. I think on outlets, do we expect outlets to be materially higher at the end of the year? No. We just want to make sure that we have the opportunity to maintain and grow outlets as we go through the next two to three years. And not that – come back to your risk question about how to buy, it's not that we think oh, right, election that means, it's time to go deep into land. We just have to push harder. We touched on this in the last-half of last year of making sure we get the balance of size between smaller sites, which help our outlet numbers more and longer sides, which help their margins more, right. And so, the smaller sides have certain extra risks for certain actual risk mitigations as well. So, it's getting that balance, right. And if I could get a bit growth in small size and that means a bit more land spend, but still see through the higher-margin strategic purchases, that's where it might be that we would spend a bit more on land, but the risk elements of that is not significantly different. We are very focused on the risk of how to buy, but that's about making sure we've got the right products on those sides. We've got the right timing for the product we bring forward through the period of price caps and the initial period after helps buys. It's also about working out what are the choices our customers have gotten and how we mortgage provided and government can help them with that.
Brijesh Siya: Thank you. That's all clear.
Pete Redfern: Thank you.
Operator: Thank you. The next question is coming from the line of Aynsley Lammin. Please ask your question.
Aynsley Lammin: Good morning, and just two quick ones for me.
Pete Redfern: Good morning.
Aynsley Lammin: Morning. First of all, could you just remind us of the bulk sales you did in 2019. And I wondered if you'd have a kind of estimate of the impact on the net margin as those boat sales? And then secondly, just coming back on the kind of landmark and the confidence post the election, have you seen, I know it’s early days and all the comments, but just in London is there a bit more activity in the land market just interested in your views there, what you may have seen in expectation, specifically for London land? Thanks.
Pete Redfern: I'll pass the first question to Chris, but I'll say the second one, just to give him a second. The – I still think it's too early to say any movement on land in London. The deals that were lined up for the end of the year, sort of happened, and I'm going to talk about our deals, I think looking at the sector overall, people who might have been, sort of waiting for the election results of the swing factor went ahead with those deals as far as I can see in the marketplace. So, you could point to that as a sign and that problem because simply like Savills' very strongly in terms of their perspective. And I also think you see a meaningful change in inquiries from the sort of both overseas and likewise to higher-end of London product, but it's really sort of – it's a feeling and rather than big sort of, yes, sort of movements overall. And I think it will take time before you see London land really get back to some sort of normality, because I think we've had political sort of market uncertainty, but we still have the planning and sort of more local political uncertainty, which I think is – it's sort of – it's still an issue around Central London land and getting sides to be truly viable. So, yes, I would, I think it'd be so we'll be talking about through the course of the year and I sort of hope by the time we get to the half-year, where I would give you more certainty. But I certainly, I’m not expecting us to be making material central London land purchases, for instance, in the first six months off the back of the election result. I just think it removes one of the shadows. I think what will also be interesting sort of in the budget process is to see if anything happens to stamp duty, because obviously, that's one of the other databases in the scene on the higher-end London market and that will also have an impact on that. But I think that in the general market, including the Southeast and more normal London product, I think, we could see sort of a positive effect kind of develop, yet, it’ll be measurable over the course of the next two, three months. I think in London land and the higher-end, it's a bit slower, but I may be wrong on that.
Chris Carney: Yes. And on both deals Aynsley, I haven't got the exact numbers in hand. But to give you a feel for it, through the course of the year, I think they were probably in the range of something like 10 to 15 [boat fields] done anywhere from like 10 units to over 100 units. And the impact on margin is obviously – it varies quite significantly from deal-to-deal at the end of the, I think, in the November trading update we referenced a couple of boat deals in Central London, where there was an opportunity there for us to liquidate some stock. And that did have an impact on margin, but actually, some of the other book deals earlier in the year, you'll recall we did at the point of land acquisition that had absolutely no impact on the margin. So, it's probably not quite as much as you might think it would be.
Aynsley Lammin: Sure. And just to clarify, for 2020 at this point, you wouldn't really expect any bulk deals, the need for any given your folks a bit more margin?
Chris Carney: I think we'd expect less. I think it'd be a strong statement, because then we look at – I don't think we look at, what I am saying, oh no, we wish we hadn't done that. There's a lot, yes, where you've got large sides, and actually the main aim of some of the boat as one of the reasons they tend to push up the older book there is, because they don't sacrifice your short-term completion. So, it’s actually where we've got large size and a good strategic land bank, where we can replace those large sites. There's a still a very strong logic sort of doing them. So, to say, we wouldn't expect any would be bold. To say the balance of risk opportunity is slightly different and we’d expect less. It’s a much sort of more reasonable statement, I think.
Aynsley Lammin: Great. Thank you very much.
Operator: Thank you. The next question comes from line of Will Jones. Please ask your question.
Will Jones: Good morning, guys. Three for me as well, if I could please. The first was just around, I guess outlets just reflecting on the decline in the numbers last year, how – I think 2020 or so on an average basis. How would you split those you think if you broadly speaking between what was in your control, i.e., it was a function of media higher sales right through the year than you anticipated? Or maybe that was just a lack of land spent versus say, things like planning delays? Just want to get a feel for to what extent you control up the face on that number this year? And I guess within that, how quickly do you think you get up to the 250 number that you expect to average versus the 240 today? Second, it was around margin, obviously pricing, bill costs are going to be two big inputs to that, which, it’s too early to call, but when you look at other moving parts, I guess mix issues around the quality of land coming through year-on-year, London’s impact or not, just as – are there any of the kind of facts that you kind of have visibility on this stage around margin, you could help us with and then I guess the final one was just around the cash flow side of things, it’s probably too early, but do you have any idea of, do you know your cash plan has been for the last year and any idea on how that may move this year and the other stuff? I think we have the guidance on the extra tax from November, but provision payments, again just and if you can help us within terms of the cash moving parts as well? Thanks.
Pete Redfern: I’ll let Chris take the cash flow question in a second. I would actually say, this has been true for years, but I’ve always felt uncomfortable when I say, sort of, pay is kind of complaining about planning in its impacts on outlets because if you don’t understand the planning impacts on outlets then you don’t really know what the business is about. If you say what remain so, I would also resist complaining about that and actually, I’d say it would be completely unfair for me to comply about that this year. You know, planning process remains hard, we have delayed, but we didn’t expect, but actually we’re forecasting them very well. So, our opening timings are very much in-line with what we expect, probably when we tracked it from a closely during 2019. So, it is more to do with things that were not controlled. And actually, it’s more to do with I think land purchase and large sides versus small sides that it is to do with sales rates and closing outlets more quickly. If we were taking both sales to close that outlets sacrificing price, but not then having the choice of the marketplace of having the outlet that will be going strategy. Those book sales are our large sides where we have lots of potent. Yes, so we’re not closing the outlook because of those sales. So, it’s in our control, but if you look at the land spend pace, if you look at 2018, 2019 for instance, the balance of our land spend have already touched on later towards large size, weighted towards strategic land, weighted towards higher future margins, but not weighted therefore towards giving us more outlets, and also geographically because of the uncertainty in London and to a certain extent the wider southeast market. If you looked over the last two years that I had sort of purchases, they’ve been weighted away from, sort of London and the Southeast, Westside is tend to smaller, and therefore, they proportionately push out your outlook numbers. Now, I don’t regret any of those things, but sort of, you're still going to look at the outlets and think I want the number to sort of continue to decline. So, if we kind of see a bit more certainty and potential in the Southeast then I would say over the full course of six months, you know sort of been that way. It pushes us towards slightly more smaller sides and we’ve been actively pushing our teams to look a broader mix of sides. Then that’s what I would like to see happen overall. So, I think the outlook movement is, it isn’t that we are kind of getting disappointed because we’re losing five openings in, you know sort of a month of, you know sort of a quarter. That’s just generally not happening. You know sort of, we’ve got much better forecasting when allowing for the planning delays that happen, but it is the underlying. We’ve got to make sure we’ve got a broad mix a side. So, it’s finding a balance. If we get there, if we can get that long-term sales right, sort of balance right, and yet we won’t continue to maintain the sale rate, which is above the sector, the one above history.  There’s nothing I have said on that price volume balance and there’s a way from that. It’s shading it a bit, you know so then we don’t need as many outlets than actually bigger higher value outlets where there is less competition is the right place for us to be, but is balance, and I am just done with that balance is too far that way. Our margins, I mean, you’ve got the main moving parts, you know there is the 2019 cost movements that impact on 2020. There are some bulk sales in 2019 that will come through in the first half of 2020 and those two sort of effect the first half, second half weighting. Our cost savings, you know sort of come through, sort of a bit in the first half, but actually more weighted towards the second half inevitably because of timing. The big movement is about price. You know, can we squeeze our price sort of over the course of the next two to three months, because if we can it impacts on this year. Again, specifically in the second half completions, but I think the potential is that in a way that it will also join the course of last year and the focus is there, but that’s we are [obliging you on] with brilliance, I think.
Will Jones: Right. As you referred to like experience last year, I think you said sequentially you were pretty flat in the first half. Would that -- I know obviously, autumn is a tad weaker in London, the Southeast would you say, would you start again in the second half, so it was a year of no movement?
Pete Redfern: I would have said so, yes. So, small local movements, but overall to the level of experimental measurement area, you know, I would think, I would be disappointed if this year was flat, but what was is too early to call it, sort of what that number is.
Chris Carney: And just going back to your question on cash Will. The net land spend in 2019 was around £680 million. So, around about 100 million more than 2018, a bit early to be giving you year-end cash guidance, both I’ll aim to give you something on that at the prelims as the land will be a key element of that. And to touch briefly on 2020, I previously mentioned the fact that we have two extra UK corporation tax payments in the first half amounting to about £70 million and those would get about 50 million of spend on the exceptional provisions amount to about 120 million of one-time cash flows in 2020. And that alone would suggest a net reduction. The cash balance at the end of 2020, compared to 2019, but I’ll give you more of a feel for the quantum of that in February when we see how trading has gone in the first couple of months.
Will Jones: Great. Thanks a lot.
Operator: Thank you. The next question comes from the line of Gregor Kuglitsch. Please ask your questions.
Gregor Kuglitsch: Hi, good morning. Couple of questions. So, just, sorry to come back to the margin. Just to be crystal clear, are you suggesting given the – where the order book is, obviously you sold forward quite a lot as you said, that in the first half your margins will be down year-on-year, is that what you are kind of hinting at and on a similar note as we think about the year as a whole, appreciate the pricing variable is obviously too early to call and still very early, but if you have a similar situation as last year where pricing is flat are you suggesting you would be down? So, in other words you need some price increases to hold the line on margin, just to sort of get a sense we are starting.
Pete Redfern: Yes. So, I think on the first one and the first half, I think yes, that is what we’re saying, but actually, I mean still so much about selling forward, that obviously means we know what the price is for us. First, because we have the cost deflation in 2019, so it is those first half numbers and we know more or less what the price has been yes, I think we also – the margin would be down year-on-year. I think for the full-year, you know if again same sort of answering away, we’ve got cost inflation that came through last year, which isn’t fully annualized. We’ve got cost inflation that we expect it will be significantly reduced in 2020, but obviously not a full-year impact and so if you sold nothing on price, then we can offset some of that prior actions, but then yes, you would expect to see margins down, I think mathematically that’s absolutely right, but I think there is an awful lot of potential that the second half margin actually is up, certainly on the first half, but also up year-on-year.
Gregor Kuglitsch: Okay. That’s clear. Thank you. And if you could just give us sort of anecdotally what you’ve procured on sort of the major cost there thinking bricks blocks, tiles, and then perhaps the key labor items, I mean just to give us a little bit of a sense, I don’t know if you kind of at this point securing new six, nine months contract or whatever, how the inflation rates have trended in some of the items?
Pete Redfern: Yes. So, I would say, I am not going to get into specifics, you know sort of, but overall, you know, I would say, we’ve obviously been sort of generally talking about a cost inflation environment of 3% to 4% through the last three or four years, which then picked up 4% to 5% last year, and then sort of softened again a bit during the course of the year landed at about 4.5. I think, if I were to sort of give that same number today, you were probably about 3%, so – and what I said, normal where the low-end of what we have seen is normal on cost, and I would say there’s probably a bit of upside against that one probably being slightly cautious and how I am reporting what is happening. I think, our materials it is more like one to two and on wages it is more like two to three, so I, you know sort of, right now, 3% maybe a little bit lower.
Gregor Kuglitsch: Okay. Thank you. It was really helpful.
Operator: Thank you. The next question comes from the line of Charlie Campbell. Please ask your question.
Charlie Campbell: Couple of questions from me, if I can? So, first question was just kind of just trying to square the order book with the comments on the waiting for year, is that because there's quite a lot of maybe affordable in there that comes through in the second-half? Is that what’s fair or is the comment really that much the year is just less second-half weighted than last year, but still second-half weighted just to sort of clarify that? And then secondly, I know you said at the beginning of the early days, but I'm just really curious about some of the sort of leading indicators, i.e., thinking about things like website traffic, visitors on the ground or inquiries, just any sort of quantum you can give us on how that's moved, I suppose in the month since the election?
Pete Redfern: Yes. So, on the order book, there is a higher proportion of affordability or a book at the end of this year, but that's not the sort of main reason for the grade. So, I think the private order book is up 12%. So, sort of the affordable order book is up a bit more, but those are up materially. And so yes, that doesn't – that means you can't mathematically take the order book and proportionately work it through, but there is still maintenance growth. So, there is both, we have to – we are also slightly further ahead. We have to build those, sort of homes and built them properly. So, it's about matching the build and the sales. And I think, I said, I will touch on and then I didn't, to what – when you can be selling too [far ahead], and particularly from a customer service point of view. We were one of the first say, look, yes, if we sell too far ahead, then we create more uncertainty for our customers if we are not careful and more likely that the dates will shift. I think what we felt during the course of last year for having invested heavily in build process and quality, we are far more confident that we can execute our build programs to our original plan. Our outlook openings are really good. Our openings, now that may sound like a tri comment, but it means when we have – we know what we're going to do, we have all the information and the plan is often running. It feels far more controlled. So, that gives us the call that from a service point of view. Of course, you always have a sort of price versus risk dynamic in that. And if prices were increasing by 6% or 7% a year then it becomes a meaningful trade-off. If say, this year prices increased by 2%, yes, the impact of selling it had an extra two months is academic, if you see once again.
Charlie Campbell: Yes.
Pete Redfern: So, yes, at this point in time, when we had a year last year where prices were under pressure, the year will be better. You kind of think well, maybe the balance isn't quite right. Actually, generally, I think a longer order pull gives you the confidence to sell well and both on price and from a customer service point of view. So, I don't think we're losing out a lot from that, but I wouldn't want to see it get much, much bigger.
Charlie Campbell: Yes.
Pete Redfern: So, I think, sort of the balance is about right. Sorry, I missed the other part of the question, of course with lead indicators. So, sorry, lead indicators, yes. Yes, I think generally positive, but not big swings, but you'd never see big swings and visitors and website inquiries and things in December. So – and actually, leading characters were all very good through 2020, sort of 2019. So, they all look positive, but they haven't got the positive. It's just that, yes, what we are seeing is, they will come through the door, the conversation we have is more confident. And I think, sort of, I would expect, because the next couple of months cancellation rates to be a little bit low, which rates a bit of a difference to net sales, right? So, all of those things are there. But I think it will be wrong to say suddenly switches turned on, sort of actually, last year, it wasn't bad, but actually just trying to grind out price was tough. I think, that environment feels better and we can sort of see that from our early conversations, but it is really, really early.
Charlie Campbell: Yes. Yes. Can’t blame me for trying, but thank you very much and good luck with the [edge company]. Yes, thank you.
Pete Redfern: Thank you.
Operator: Thank you. The next question comes from the line of Jon Bell. Please ask your question.
Unidentified Analyst: Good morning, Pete, Chris, and Debbie. Three, I think I've got. First one is on customer satisfaction. I think the last time you updated as it was seeming quite likely to drop down to four star, albeit cigarette paper below five star, just came for your updated thoughts on that. Second one was on London. I wonder whether you could just update us post mark on sales rates and prices? And then the third one, finally on Help to Buy original price caps. There was some discussion sometime ago about some lobbying, maybe to iron out some regional inconsistencies. Is that still going on? Any traction, anything like that? Thank you.
Pete Redfern: Yes. On customer satisfaction, I think, no change. Unfortunately, on the year ending in October 2019, I think, we will be at 89 points, sort of four or five. So, sort of just under the five-star rating. Yes, that that's partly a pride and a signaling thing that it's frustrating, but I think, that's highly likely. We have about 500 completions in the new customer care year. So, we still – now we’ve full set of results for last year just where the timing works faster than you. And there are five star and yes, the trends as I've said before, has been at five-star, but I think unfortunately, we will get below that sort of level. And I don't know if Chris has got post oxidate postmark data he tends to, so I’ll hand him.
Chris Carney : So, yes, so we sold three units of postmarking in 2019, and that makes a sales rate, I think, 1.92 since we opened that. So, that's pretty pleasing.
Pete Redfern: And I think on original price caps, you may remember me saying before, we specifically have not lobbied on regional price gaps. And I have a view with how we deal with government when they know what they are trying to do, and they do it and what they do make sense to what they're trying to achieve, then lobbying to change it isn't particularly effective and helpful for a long-term relationship. I think the price gaps look anomalous if you look at it from a developer's point of view. From a government point of view, what they're trying to do is steer towards certain parts of the market. And yes, and therefore, they are conscious regionally. So, we have not lobbied for that. And the way that conversation happens, as far as I know, that conversation is, sort of fizzled out and there isn't a change. But I haven't argued for one, because I think, sort of what they are doing is reasonable, and it's up to us to manage it. I think what will be interesting, and it's the one bit where although, you know, I have a long-term view that we should be finding a way out of Help to Buy. I do think having a kind of much smaller in terms of the volume of customers that it can affect, but a bridging piece of Help to Buy post 2023, I think, as we get closer, I think, that will be an interesting conversation with government. I mean, so that is very – maybe as means tested and he's focused on customers who are not just first-time buyers, but really marginal first-time buyers and it's sort of – it's a bridge between affordable housing and private housing, but it may be 10% to 15% of the volume of Help to Buy, not 50 or 60. That I think that – I would be happy to sort of lobby for, because I think that will be long-term sustainable and healthy from a market point of view as a bridge.
Charlie Campbell: Very good. Thank you.
Operator: Thank you. The next question comes from the line of Sam Cullen. Please ask your question.
Sam Cullen: Yes. Good morning, everyone. Just one left really for me. Just kind of following on from Will’s question on outlet, really, I guess if you do see a month, [indiscernible] if you do see a volume recovery across the whole market as we move through January, February, March, how quickly can you guys respond to that? At what point do you want to take price and volume at some point, clearly, if the market does recover more rapidly, you want to take volume also. And how quickly can you increase the outlet numbers across the group?
Pete Redfern: I think in terms of increasing the outlet numbers in a meaningful way, we can't and neither can anybody else. It's just – if you have outlets that you are able to open in our business, then you open them. If you're able to – you might, there might be a delay that you consciously choose to take of a few weeks as you get the details and the information, right? Yes, we'll get your sales to the presence in the right place, but you don't have your outlets waiting in the wings. I can say that might be slightly different for a very London centric developer at the moment, who maybe had a few sites they've mothballed that they could then open up again, but in a more general sense, sort of, but what we can do and what I think we are better placed than anybody else to do and last year to a certain extent was about testing this is increase our capacity on individual sites. And those same large sites, which can be a challenge to collaborate with numbers are an asset and letting you be flexible with the market. And that's why we wanted to test the highest sales rates and what the balance was, because if I look at the last five years, there’s been a missed opportunity, because we didn't have the control over our build to be able to step up by 20% over the course of a year and feel like we can do it properly manage quality, manage customers’ resources, and I feel we are much better place to be able to do that. Now, it still takes six months to about to have an impact on completions at least, but still, we're not – yes, we can actually make that shift quite quickly an impact on half to next year and into 2021, whereas in the past, actually, you're stepping up a build on individual sites, we’re getting very nervous, because then we tend to come with quality problems and real management issues. Now have much more confident that we have the control and the production mentality to be able to get that right.
Sam Cullen: Okay, thanks.
Operator: Thank you. [Operator Instructions] The next question comes from the line of Ami Galla. Please ask your question.
Ami Galla: Good morning, guys. Just one question from me. On the land bank, I was wondering if you could give us some comment on the plot cost or revenue ratio at the end of the year, where there any meaningful shift as a result of the strategic conversations that you’ve seen? And on the broader land market, I hear your comments in the London and the Southeast, but on the broader land market do you see more competition tightening the intake margins in this space?
Pete Redfern: So, I might need you to repeat the second one. One the first one, I don’t think, yes, because we are not going to fully process the accounts, so then we will give you a specific number of plot cost to revenue ratio. I certainly don’t expect it to have moved significantly over the course of 2019, and certainly, you know generally it has remained low by long-term historic standards in the combination of the strategic land and the overall land environment will help to continue to make it do so, and so the quest on London land, I missed the question.
Ami Galla: No, my question was really was on the intake margins in the broader land market, do you see that tightening over the course of 2020 to an extent?
Pete Redfern: No. Sorry, it wasn’t – I wasn’t told. I don’t particularly expect that to tighten. I think, I mean in a way the earlier question about how to [buy and risk] is part of that. You know, whilst I think never to be there is a sort of more of an air of confidence in the market overall and that includes therefore the land market. I don’t think the dynamic that we’re seeing for the last 10 years, which has what’s driven that kind of higher intake margin lower plot cost to revenue, I don’t think that’s changed. You know, sort of, and I don’t think it’s about to change. It’s not something – and in some ways, I certainly think that with the general election result somebody tend to switch on the market.  I think that is still on land as well. It is a more positive environment, but actually I think it might actually help with those intake margins particularly in London, because we’ve touched on before, actually there was a level below which land sellers won’t go, there is a level in London were alternative use starts kick in over residential and that’s made buying land at reasonable margins very difficult and sort of Central London for a little while, and so actually seeing a more positive market environment will actually help that because it will, I think sort of help residential compared to certain other land uses and it will kind of help the math on side. So, I don’t – that’s not me flagging the margins will go up materially on purchase, I don’t see that we have sensed an area where there is a meaningful sort of extra degree of pressure.
Ami Galla: Thank you.
Operator: This concludes our question and answer session for today. I will now hand over back to Pete Redfern for the closing remarks. Thank you.
Pete Redfern: Thank you, and thank you everybody. Not many extra remarks guys. Closely look over to seeing with the prelims when we will be updating you on really the key, those two months of trading. Thank you very much.
Operator: Thank you for joining the Taylor Wimpey plc’s trading update call. This call has been recorded and will be available to listen on demand on Taylor Wimpey’s website later today. Thank you.